Operator: Ladies and gentlemen, thank you for standing by, and welcome to Meredith's Second Quarter Earnings Release Conference Call. [Operator Instructions]I would now like to hand the conference over to your speaker today, Mike Lovell. Please go ahead.
Mike Lovell: Hi, good morning, and thanks, everyone, for joining us. Our call will begin with comments from President and Chief Executive Officer Tom Harty, followed by Local Media Group President, Patrick McCreery; and Chief Financial Officer Joe Ceryanec. Remarks this morning will include forward-looking statements, and actual results may differ from our forecasts. Some of the reasons are described at the end of our news release that was issued earlier this morning and in some of our SEC filings.Certain financial measures that we're discussing on the call are expressed on a non-GAAP basis and have been adjusted to exclude the impact of special items. Reconciliations of these non-GAAP measures are included in our earnings release, which is available in the Investor Relations section of meredith.com. Finally, an archive of the call will be available on our website later this afternoon.Now I'll turn the call over to Tom Harty.
Tom Harty: Thank you very much, Mike, and good morning, everyone.I hope you've had the opportunity to see our news release issued earlier this morning. To summarize, fiscal 2020 second quarter total company revenues were $811 million, compared to $878 million in the prior year period. Earnings from continuing operations which included special items in bulk periods were $62 million, compared to $88 million in the prior year period.Total company adjusted EBITDA was $194 million well above the range communicated on our last earnings call. There were two obvious factors that primarily affected revenue comparability with the prior year second quarter. First, a cyclical decrease and political spot advertising revenues of $61 million in our local media group which was expected. And second, the impact of a number of changes to our National Media Group titles to enhance the experience of our consumers, provide more effective and efficient platforms for our advertising clients, and increase the profitability of our portfolio. Absent these changes, comparable advertising revenues were up. I'll talk about these changes in more detail in a few moments.Our two year Time Inc. integration process is now largely complete, and we have more confidence than ever that Meredith is at the strongest competitive position in its history. For example, in the second quarter of fiscal 2020, our National Media Group delivered results that significantly exceeded our expectations, including strong growth in year-over-year adjusted EBITDA and related margins.Driving that performance was our second consecutive quarter of comparable total advertising revenue growth as both print and digital advertising revenue exceeded expectations. As an aside, if you look at calendar 2019 and its entirety, total comparable National Media Group advertising was up, meaning we achieved the inflection point of digital advertising revenue gains more than offsetting print advertising declines.Meanwhile, the consumer connection to our brands reached record highs. Readership of our Print Titles grew 4% from the prior period to a record 186 million, according to the latest data from MRI-Simmons. Traffic to our digital properties grew to an average of nearly 155 million monthly unique visitors according to comScore. Allrecipes.com achieved several notable milestones during the quarter, hosting a record 50 million unique visitors over the Thanksgiving Holiday, delivering 1 million video views for the first time on a single day on Thanksgiving Day, and reaching an all-time monthly high of 60 million average unique visitors in December.At the same time, our Local Media Group delivered record results for a second quarter in a non-political year. Non-political spot advertising revenues were up in the low single digits marking the fourth consecutive quarter of growth. Consumer related revenues grew 15%. We successfully completed new multi-year retransmission consent agreements with Charter Communications, Altice USA, Mediacom Communications, and Google Fiber.We also successfully completed the renewal of our ABC affiliation for WGGB in Springfield, Massachusetts. Beyond our operating group performance, we've had several notable recent accomplishments. We sold FanSided in January. We recently reached an agreement on the sale of Xumo and are waiting customary regulatory approvals before we close.With that we will have sold all of our non-core assets acquired in the Time Inc transaction at very attractive multiples. Additionally, we raised our annual dividend last weekend for the 27th consecutive year. The new dividend reflects our continued confidence in the very strong cash flow generated by our Viant brands and businesses.As we look ahead to our third quarter, we're encouraged by revenue trends in both operating groups. In the national media portfolio, we are currently pacing slightly up year-over-year in comparable advertising revenues. In the Local Media Group, we see stable advertising performance.While it's still early, non-political spot advertising is currently pacing up slightly in the third quarter compared to the prior year. We're also beginning to see more meaningful political related advertising dollars for markets in Presidential primary states.With that overview, I'll turn now to the review of our operating group performances beginning with our National Media Group. Fiscal 2020, National Media Group's second quarter operating profit was $101 million. Excluding special items operating profit was $92 million, and adjusted EBITDA was $141 million all records. Fiscal 2020 National Media Group's second quarter revenues were $597 million compared to $616 million in the prior year period.As I mentioned, we made several changes to our portfolio that affected comparability with prior year results, particularly as it relates to advertising and subscription revenues.The portfolio rationalization is a key piece of our ongoing strategy to increase the profitability of our magazine business.Since the Time Inc. acquisition, we've made a number of portfolio changes, including selling non-core assets at attractive multiples, investing in key brands to redesign, increase editorial sales resources and higher quality paper, introducing new products such as Reveal, the magazine from the Property Brothers, Drew and Jonathan Scott, transitioning marginally profitable titles to quarterly consumer driven products with higher subscription and newsstand prices, merging competing titles to create more profitable brand with a broader reach, and closing down brands with very limited growth potential, specific portfolio changes affecting fiscal 2020 second quarter results were transitioning Coastal Living and Traditional Home to premium newsstand titles, merging Cooking Light into Meredith popular EatingWell title and closing the Family Circle MONEY and Martha Stewart Weddings magazines.Looking more closely at fiscal 2020 second quarter advertising performance compared to the prior year period, total advertising related revenues declined slightly due primarily to the portfolio changes. Comparable advertising related revenues grew. Many of our magazines delivered print advertising revenue growth, including PEOPLE, our largest brand, which was up double digits.Digital advertising revenue grew in the high-single digits driven by growth in traffic, impressions per visit, rates along with strong video performance. We're pleased to be delivering on the promise of our portfolio of industry leading brands. Our performance is significantly stronger than the industry as a whole as leading to strong market share gains in print advertising.Independent research continues to confirm the strength of our National Media Group portfolio across all media platforms. For example, a majority of advertisers identified Meredith as a must buy, or complimentary buy across all of our key content categories of home, food, parenting, entertainment and health.This is according to the most recent brand tracking study performed last month by the highly respected advertising perceptions. Importantly, we continue to serve more than 115 million American women with trusted content and provide advertisers with a safe environment in which to deliver their marketing messages.Turning to fiscal 2020 second quarter National Media Group consumer performance compared to prior year period, total consumer related revenues decline 10%. The change in revenue is due primarily to the portfolio changes, which impacted subscription and newsstand revenues. Affinity marketing, licensing and digital and other consumer related revenues rose 13%. We are particularly pleased to have extended our long running and successful brand licensing agreement with Walmart during the second quarter of fiscal 2020 through the end of our fiscal 2024.In addition to the portfolio changes discussed a few moments ago, we've also completed or announced additional innovations in our National Media Group in fiscal 2020 to position it for revenue and profit growth over time. Foremost is our newest brand launch Reveal, a new lifestyle magazine done in partnership with globally recognized home renovation and interior design experts Drew and Jonathan Scott who are stars of the popular Property Brothers television show.Reveal is just one example of the way we are evolving the magazine model for some of our brands with the individual consumer in mind. Just last month, we announced the launch of a new quarterly magazine in partnership with best-selling author, restaurant tour and television host Ayesha Curry. We've also recently reimagined several of our brands including Cooking Light, Coastal Living and Rachael Ray In Season as consumer driven titles.What's common with all these titles is immersive photography, compelling content and high quality and beautiful paper that delivers a unique experience in media. We are aggressively innovating our digital products and services too. This includes making strong progress on the investment initiatives highlighted in early September.As a reminder, these are building an integrated digital platform and strengthening our data and audience targeting tools. The new platform brings together the legacy narrative and timing digital assets to a common content management system, front end templates and a proprietary data insights platform. We expect the migration to this platform to be largely complete by the end of fiscal 2020. We expect this new platform will offer a more personalized experience that drives engagement for our consumers at scale, richer audience insights, and contextual targeting for our advertising partners, and faster speeds and greater efficiency for us across our digital network.Creating more video, the market for digital video related advertising is expected to grow 30% faster than non-video display advertising, and accounts for more than half of the total digital display ad spending in 2020 according to eMarketer. We are seeing early and strong results from our video production work with video views and revenues across our owned and operated sites up in the double-digits in our fiscal second quarter.Content to commerce, where we are integrating relevant commerce experiences into our brands to drive affiliate and consumer revenue. We work with more than 400 retailers to drive premium high quality leads and buyers to their online stores.Other areas that drive digital engagement, one of these is through the recent acquisition of [SwearBy] a small but interesting word of mouth recommendation engine that lets our consumers recommend products and experiences. We also acquired [Stop Rethink] a digital subscription driven business in the fast growing mindfulness space whose guided meditation program was named one of the Amazon Alexa's top 10 skills of 2019.Finally, we know that an increasing number of our consumers want hands free convenience for daily tasks. So we're expanding our audience offerings in the fast growing audio space, including ladies first, a new podcast from Instyle that will highlight women who are providing hope and inspiration to other women.It takes a [village], a new podcast from parents that will shine a light on the beauty and diversity of family life today, and PEOPLE which will be launching a new daily weekday podcast featuring the most compelling stories of the day across celebrity news, entertainment and human interest. To summarize the National Media Group discussion, it was a strong second quarter and first half, with progress on many fronts, and we’re expecting a solid second half as well.Now I'll turn it over to Local Media Group President, Patrick McCreery for an update on our television business.
Patrick McCreery: Thank you, Tom.Fiscal 2020 Local Media Group's second quarter operating profit was $55 million and adjusted EBITDA was $67 million, revenues were $214 million. All were records for a non-political second quarter.Looking more closely at fiscal 2020 second quarter performance compared to the prior year period. Non-political spot advertising revenues grew 2% to $90 million, our fourth consecutive quarter of growth. Performance was led by growth in our Las Vegas and Phoenix markets. From a category standpoint, the professional services, pharmaceutical and home services categories were stronger, partially offset by softer results in the automotive category.Digital advertising revenues across our local media group portfolio increased 23%. Third party sales declined 5%. As expected in a non-political year, political advertising revenues were $4 million compared to $66 million in the prior year period.Consumer related revenues increased 15% to $85 million due to growth and retransmission fees from cable and satellite operators. These increases were partially offset by higher payments to affiliated networks.We continue to pursue initiatives to strength and expand our local brands. Our weekly television show based on the strength of the people brand continues to perform well with audiences and advertisers across our station group. We have committed to launching the show in daily syndication in the fall of 2020, beginning with distribution across all 12 of our local markets. We are actively engaged in discussions with other broadcast television owners to carry the show as well.We're also seeing strong viewership for our whole - our four holiday specials we aired in the second quarter based on the Southern Living brand. We plan to begin airing the Southern Living show, a weekly show starting in April. It will run across the entire geographically diverse station portfolio.We're also pleased at the strength of our news gathering and creative teams as evidenced by the 9 Regional Edward R. Murrow awards, as well as the 60 Regional Emmys recently earned by our colleagues. These efforts are helping our Local Media Group maintain a strong connection to viewers, as demonstrated by our performance in the November ratings period when stations in 9 of our 12 markets ranked either number one or two from sign-on to sign-off.Now I'll turn it over to Joe Ceryanec to conclude our call this morning with a look at company-wide financial highlights and our third quarter outlook.
Joe Ceryanec: Thanks Patrick, and good morning, everybody.You may recall that when we began fiscal 2020, we expected to generate $75 million in proceeds from the last of the non-core assets that we have put up for sale. As Tom mentioned, we sold FanSided last month and I'm pleased to tell you that once we receive HSR approval and close on the sale of Xumo, we will have exceeded that initial target and we'll continue to expect to paydown a total of $150 million to $175 million of debt in fiscal 2020.We raised our dividend by 3.5% $2.38 on an annualized basis earlier this week, which marked the 27th straight year of dividend increases and 73rd consecutive year that Meredith has paid dividends.Now turning to our outlook. For full year fiscal 2020 we expect total company revenues to range from $3 billion to $3.2 billion, which is unchanged from our original guidance communicated last September. We expect earnings from continuing operations to range from $177 million to $192 million, and from $2.14 to $2.45 on a per share basis, including a net after tax charge for special items of $20 million.Our actual results may include additional special items that have not yet occurred and are difficult to predict with reasonable certainty. We expect full year fiscal 2020 adjusted EBITDA to range from $640 million to $675 million and adjusted earnings per share to range from $5.75 to $6.20, also unchanged from our original guidance communicated last September. These ranges include approximately $50 million of previously announced planned strategic investments.Now looking more closely at the third quarter of fiscal 2020, we expect National Media Group revenues to range from $515 million to $535 million, Local Media Group revenues to range from $205 million to $215 million and earnings from continuing operations to range from $38 million to $45 million and from $0.39 to $0.55 on a per share basis. We expect third quarter fiscal 2020 adjusted EBITDA to range from $145 million to $155 million and adjusted earnings per share to range from $1.24 to $1.40.Now, just to note, as we previously disclosed in last year's third quarter, it included a one-time out of period favorable adjustment to operating expenses of $10 million, the result of incorrect coding of certain magazine subscriptions by pre-acquisition timing. Absent theses item are adjusted EBITDA guidance for Q3 as essentially even with our prior year period.Now, having delivered a very strong second quarter, we feel very good about our position as we head in to the second half of the year. That said, it's very early in a new calendar year and we have limited visibility into 2020 national print and digital advertising budgets. And in our Local Media Group, we're seeing strength in political advertising demand, although again, it's very early in the election process. As a result, we're taking a cautiously optimistic approach, and not adjusting our annual guidance at this time.With that, I'll turn it back to Tom to close and lead into Q&A.
Tom Harty: Thank you very much, Joe.As you know, we manage our business over the long term. We continue to have confidence that we will deliver performance well within our stated EBITDA arrange for the full year. While it is still early in calendar 2020, and we do not have clear visibility into advertising demand across both of our businesses. They are encouraging trends. First, we expect continued momentum in print advertising as we assess calendar 2020 budgets with our powerful portfolio brands.Second, while we experience quarterly swings, we expect to deliver at least mid-single digit growth and National Media Group digital advertising revenues, driven in part by strong video related performance. In our Local Media Group, we're seeing a pickup at political primary advertising dollars in the back half of our fiscal 2020. And finally, we expect to renew MVPD contracts representing approximately 30% of our subscriber base in the second half of fiscal 2020.Now we'd be happy to answer any questions you might have for us this morning.
Operator: [Operator Instructions] Your first question comes from the line of Dan Kurnos from Benchmark. Your line is open.
Dan Kurnos: Good to see a good print here guys. A couple of questions maybe for Patrick and Tom starting off on the local side. First, on political. Is there any way - obviously presidential is not huge for you guys as part of your footprint, but is there any way to quantify the impact the Bloomberg is having and what kind of variability there is in terms of your political forecast.And then on the re-trend side, numbers are little bit better than anticipated. I think you've got AT&T in the back half of this year, which has been a little noisy and obviously Comcast had a bit of a soft sub guide. So just kind of your thoughts on rate versus subs and how kind of the market shaping up in the back half of the year?
Patrick McCreery: Thanks Dan. Good morning. I would say that on the political side, we booked $7 million in the first half of fiscal '20. And that's double the comparable quarter from '16. So I think things that shows the variability as positive.Bloomberg is certainly having an impact across most of our footprint. As you mentioned presidential is life for us typically, if the headlines are to be believed he's going to double the spending and that will be beneficial certainly. So that's another cautiously optimistic opportunity for us.With regard to retransmission, you're exactly right we have AT&T in the back half of this fiscal. There has been some noise around that. We're confident that we'll be able to reach an agreement with them. And as far as the sub-base I think, we've all adjusted to the reality of subs are declining at about 3% annually, and we've accounted for that in our calculations in our negotiations. So we're confident that we can continue to grow net profit contribution from retransmission through that process.
Dan Kurnos: And then on the national side, just - Tom with the - you talked about portfolio rationalization for a while now, you're obviously - I think it's - you probably pulled off maybe a point and a half a margin upside in the quarter. I'm just curious if you can kind of outlay sort of your thoughts on the delta here or at least break it down between what came from margin improvement from portfolio rationalization versus say better cost controls overall all on your side versus kind of the upside, and then the impact of the new platform that you're rolling out if there's any way to sort of quantify, sort of the combination of those things, as you see it in the back half of the year contributing to margin upside, at least directionally that would be kind of helpful?
Tom Harty: Yes, I think - Dan I think it's a difficult question to kind of break out all the detail of the margin game, but it's a combination of a lot of different things right. So, there's some - actually there's some great mix changes on our digital business where we're starting to see that video investment kick in and video CPMs are the highest that we have. And as we've mentioned before, we just don't have enough inventory and that's why we've been leaning and investing in that area.So for the first half of our fiscal year, total video impressions are up in high 20% gains year-over-year. And revenue is up over 30% year-over-year to give you an example. On the magazine side, again for you guys, there's a lot of comparability issues when we do things like this, but it's the right thing that we do going forward.If we have brands that we think are actually losing money and not going to be a growth factor going forward, we actually shut them down and an example that would be Family Circle or where we've taken two brands and combine them in a Cooking Light EatingWell.So all of that improves our margins year-over-year. And then again, when we look at costs, we are still benefiting somewhat in the first half of the year from some synergy capture that we've had. That's going to start running out now after we've been through this for two full years. But we did have some synergy capture on the cost side in the first half of the year in the National Media Group.
Operator: Your next question comes from line of Kyle Evans from Stephen. Your line is open.
Kyle Evans: First one, I have a couple here on the LMG side. How should we phase that 30% renewal over the two quarters in the second half of '20?
Joe Ceryanec: The 30% is at AT&T Kyle and that is going to be in the fourth quarter. I think it's in May.
Kyle Evans: Okay. I'm hearing kind of growing excitement around the friction that's coming out of national core through some industry efforts. Is it possible that that piece of the business, which is kind of been a drag for several years now on core, that that could turn into growth going forward, and then I've got another follow up there on TV?
Joe Ceryanec: It could. If you look at the second quarter, our national advertising was up eight. So I think we're seeing positive pace for this quarter in national as well. So it's nice to see it come back. I'm not going to get the firm on it, but we're cautiously optimistic that it will continue.
Patrick McCreery: And we're currently pacing Kyle up a little bit in Q3.
Kyle Evans: Thank you Patrick, well, I've got you. Kind of an updated contribution number for auto and maybe not necessarily like a pacing for three Q3, but you can give me that if you like, but kind of a longer term view maybe at 12 to 24-month view on your market?
Patrick McCreery: Yes, I mean, in second quarter, automotive was down eight. And I think that's the trend that we've seen for the last six or so quarters. We don't look for that to reverse anytime soon. If you look at automotive sales numbers, they've been about 17 million flat for the last three years.In Q3, it's a little bit better. It's currently pacing minus six. So we're seeing some steady improvement. And that's why on the local side as the manufacturer money tends to disappear and the Tier 2 dealer money tends to disappear, we're actually really chasing the local ad dollars for automotive because we think they're going to need to spend more.As a reminder professional service is in this quarter outperformed automotive, it was a total of 25% of our take and automotive was 23. So that, again, has been a three quarter trend and we don't look for that to change.
Kyle Evans: Moving on to the NMG piece of the business. I'm trying to reconcile the readership up 4% with the consumer down 10%. And I know we've talked a little bit in the past about some potential subscriber issues in the time, maybe just help reconciling those two numbers and an update on the progress you're making there with those subscribers?
Patrick McCreery: Yes, so audience number, the syndicated audience number that's in the print world, it's called MRI. It's kind of like Nielsen television ratings. So that's a syndicated audience. They go out, they measure brands, they have a panel of people that they go out and they ask if you're reading the readership, you have pass along readership and things like that.So it never kind of matches what we deliver from the number of copies and the number of subscribers that we have. So there's a little offset between that being actually up verse what we're quoting as the actual revenue over subscribers being down.So when we actually in the example of Family Circle, you had and Joe might have the revenue associated with Family Circle on an annual basis but that's a brand portfolio that was decreasing over time, we've had other brands that are stronger from both the consumer and from an advertising perspective.So we make the difficult decision to close it down because it's an EBITDA drag on us, but it does not have insignificant consumer revenue associated with that. So that's what actually causes the decrease when we do that.
Joe Ceryanec: Yes, it was about $2 million - follow up in your question Kyle, the biggest change in sub-revenue is again due to the portfolio changes. So for example, as Tom mentioned, Family Circle was down about $2 million in Q2 from a sub-perspective. And we expect the revenue to be down about 6 million in Q3 and about 6 million in Q4 due to the reduction or due to the shutdown of the magazine.
Tom Harty: But when we look at consumer demand for magazines and we've always said we're in the - we're not in the news business, we're not in content that that has to be produced and consumed immediately. We're in the inspiration business. So when you look at women, our consumer demand for our magazines has been basically flat for a long period of time, and we're actually looking for that to the future.
Kyle Evans: Lastly on an NMG maybe just a quick update on where you are in terms of allocating the 50 million in strategic investments, any kind of early returns you're seeing there. And then thank you for the impressions and the revenue growth on video, could you size that for us and kind of squint and look into the future, and guess and what you think the contribution of video could be on a…
Tom Harty: Yes I think I know, the video example that I gave was, listen a big part of what we said from the beginning was that we're going to be investing in video and more video content. And as I said, it's great to see, you know roughly 30% growth in the first half of the fiscal year. You want to make sure that you're doing it profitably and creating content that will generate a lot of impressions.The other big area of investment, as I mentioned, was getting us onto one platform. And that's really, capital for engineers to actually get us all programmed and onto the same platform. And that will be - we're about 60% today of our brands and traffic are on this unified platform. And again by June will be 100% on, and again from when I look at total impressions. So just give you an example of total impressions on our digital for the first half of the fiscal year, total impressions were up 16% and total sessions were up about 4%.So very, very strong growth and when we can get that traffic then that single unified platform allows us to take that data and drive higher CPM and be more efficient to do that. So we're very excited about getting that done. But that's been the vast majority of our investments been the digital platform and also video.
Operator: [Operator Instructions] Your next question comes from the line of Davis Herbert from Wells Fargo. Your line is open.
Davis Herbert: Just a couple from me, first what is your leverage at quarter and if you could talk about forward looking leverage given the political inflow we should see later this year?
Joe Ceryanec: Yes Davis, it's Joe. Our leverage at the end of December I believe was around 3.5 times. As we look to the end of the year at June 30, we expect that to be down about 3.2.
Davis Herbert: 3.2 at June 30, 2020.
Joe Ceryanec: Correct.
Davis Herbert: And would you expect and - you don't have to give a number, but would you expect that number to migrate lower I guess with political dollars for the calendar year 2020 as well?
Joe Ceryanec: Yes for sure. The focus is continuing to pay down debt. And with political coming in and the first half of 2021 we'll continue to aggressively pay down debt. And, we will expect in 2021 with political, that would help the EBITDA side of the equation as well.
Davis Herbert: And then second question from me is, now that the time integration is largely through as you said. How do you think about visibility for that segment going forward? I know you've already talked a bit about a lot of the investments you're making in video but do you think the visibility piece will improve in the next 12 months?
Tom Harty: I'm sorry what do you mean by visibility…
Joe Ceryanec: Segment as well.
Davis Herbert: On the national media segment, sorry - especially for on the advertising side now that you've closed some of the publishing titles how do you think about visibility?
Tom Harty: Well, I think as we work through these changes I mean, the first year we had a lot of these brands that we were treating as held-for-sale that have sold and that really affected the visibility, over the last year. Now with the portfolio changes again, which was part of the plan, that is affecting the visibility.As we look going forward, one of the things we're looking to doing is doing some more reconciliation on a like-for-like or same-store sales to help maybe bring the word comparability into a little more focus to help you guys.
Joe Ceryanec: Yes, I mean we've talked about from the - variable on advertising, our longer term hypothesis and thesis has been, print on a comparable basis down in the mid single-digit range, and digital growth up the mid single-digit. So if you looked at when I mentioned again, on a comparable basis if you look at the trailing prior four quarters or calendar year 2019 as a whole, we were actually up slightly in total advertising and just slightly over $1 billion in advertising, and print was down just a hair short of minus 5% and digital was plus 8%.So again, right in what we are talking about. And then as we look out, you have quarter swings, we're actually in Q4, print advertising was actually up on a comparable basis. And then, as we look out to Q3, we're back looking at kind of down mid single-digits in print, and an up mid single-digits in digital, but longer term kind of year-over-year that's kind of our look at. And we're going to do our job to kind of explain that variability as we've kind of managed the portfolio and make sure that you can get into the financials and see the comparability.
Davis Herbert: Great, that's very helpful. Thank you so much, and best of luck Joe on retirement. Thanks.
Joe Ceryanec: Appreciate it. Thank you.
Tom Harty: Great, so that concludes our call today. We appreciate everyone's time this morning, and we look forward to talking to you again next quarter. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.